Operator: Thank you, and welcome to the Boxlight Second Quarter 2020 Earnings Conference Call. By now, everyone should have access to the second quarter 2020 press release issued this morning. This call is being webcast and is available for replay. The remarks today will include statements that are considered forward-looking within the meaning of securities laws, including forward-looking statements about future results of operations, business strategies and plans, customer relationships, market trends and potential growth opportunities. In addition, management may make additional forward-looking statements in response to your questions. Forward-looking statements are based on management's current knowledge and expectations as of today and are subject to certain risks and uncertainties and may cause the actual results to differ materially from the forward-looking statements. A detailed discussion of such risks and uncertainties are contained in the company's most recent Form 10-Q, Form 10-K and other reports filed with the SEC. The company undertakes no obligation to update any forward-looking statements. On this call, management will refer to non-GAAP measures that, when used in combination with GAAP results, provide additional analytical tools to understand the company's operations. The company has provided reconciliations to the most directly comparable GAAP financial measures in the earnings press releases, which will be posted on the Investor Relations section of the company's website at investors.boxlight.com. And with that, I'll hand the call over to Boxlight's Chief Executive Officer, Michael Pope. Sir, the floor is yours.
Michael Pope: Good morning, everyone, and thank you for joining the call. We made significant progress as a company during the second quarter, including closing an $11.5 million secondary offering, launching our MimioConnect software platform for virtual and blended learning environments, expanding our sales channel in the U.S. and internationally, and acquiring Robo3D and MyStemKits, a complete 3D printing solution for education. For the second quarter, we reported revenues of $7.8 million, gross profit of 34%, adjusted EBITDA of negative $300,00 - or $0.3 million, excuse me; and adjusted EPS of negative $0.01. Our improvement in adjusted EBITDA and adjusted EPS over the same period last year was a direct result of our substantial operating expense reductions during Q1 and the 670 basis point improvement in gross profit over the same period last year. Additionally, we ended the quarter with working capital of $3.8 million and stockholders' equity of $10.7 million. Our CFO, Takesha Brown will provide more financial details shortly. During the quarter, we had several new wins, including Hartford County in Maryland, Middleton township - Middleton Town township in New Jersey, and Orangefield ISD in Texas. We also continued to deliver on several key contracts such as Anderson County and Beaufort County in South Carolina, Huntington Beach City schools in California, San Diego Unified in California, Montgomery County Public Schools in Maryland and Atlanta Public Schools in Georgia. Our services division successfully renewed and expanded our professional development contracts during the quarter in both Clayton County Public Schools in Georgia and Phoenix Union High School District in Arizona. Outside the U.S., our Latin America business continued to grow through key partnerships in Puerto Rico, Mexico and Chile. Also, the largest group of schools in the U.K., the Academies Enterprise Trust, selected our MimioDisplay 3 and MimioConnect hybrid learning platform as a standard across the trust, resulting in one of our largest international opportunities to date and our largest implementation of MimioConnect. We continue to win business with strong partners such as Central Technologies, Howard Technology Solutions, KCAV, OnPoint, Visual Techniques and Trox, among others. In addition to the $11.5 million secondary offering in June, we closed an offering of $34.5 million in July for a combined total of $46 million in gross operating proceeds, positioning the company with a strong balance sheet, equipped for future acquisition and joint venture opportunities. Since 2016, we closed a total of 9 acquisitions, and we are currently evaluating several additional M&A targets that would result in either improving our product offering or expanding our geographic footprint. In every case, we are considering accretive acquisition targets that are currently profitable. This week, we formally announced a strategic partnership with Samsung Electronics America to offer their displays bundled with Boxlight's software and professional development. Samsung is a world-leading company and brand, and with their expansive resources, we expect to deliver tremendous sales growth through our partnership over future quarters. In April, we closed on the acquisition of Robo3D, a leading brand of 3D printers, and MyStemKits, the largest online collection of K-12 STEM curriculum for 3D printing. In addition to 3D printing solutions, our STEM education portfolio includes our MyBot robotics and programming system, the Labdisc portable STEM lab, our MimioView document camera, and award-winning STEM specific curriculum and professional development. We expect our STEM education division will be a growth center while empowering today's students with technical knowledge required for beyond the classroom. Although COVID-19 has created significant disruption to the education market globally, we are well positioned as a company to provide the solutions educators need to create engaging and collaborative experiences in any format, including in-class, virtual and hybrid environments. Specifically, we offer solution bundles that feature both software tools and professional development resources including customized consulting, educator courses and certifications to assist education systems and their learning initiatives. With our improved balance sheet, best-in-class product offering and talented team, we are well positioned and fully committed to driving sustained shareholder value through both revenue growth and improved profitability. With that, I will now turn the call over to our CFO, Takesha Brown.
Takesha Brown: Thanks, Michael. I will now review our second quarter 2020 results. Revenue for the 3 months ended June 30, 2020, was $7.8 million, a decrease of $3 million or 28% compared to $10.8 million for the 3 months ended June 30, 2019. The decrease in revenues in 2020 is primarily attributable to the school closures as a result of the ongoing COVID-19 global pandemic. Gross profit for the 3 months ended June 30, 2020, was $2.7 million, a decrease of $0.3 million compared to $3 million for the 3 months ended June 30, 2019. The resulting gross margin was 34.4% for the 3 months ended June 30, 2020, compared to 27.7% for the 3 months ended June 30, 2019. The increase in gross profit was related to the change in product mix. General and administrative expenses for the 3 months ended June 30, 2020, was $3.2 million compared to $3.9 million for the 3 months ended June 30, 2019. The decrease is primarily driven by reductions in trade shows of $0.3 million and contract services of $0.3 million. Research and development expenses for the 3 months ended June 30, 2020, was $0.3 million, flat compared to the 3 months ended June 30, 2019. Operating loss for the 3 months ended June 30, 2020, was $0.8 million, a decrease of $0.4 million or 36%, compared to $1.2 million for the 3 months ended June 30, 2019. Net loss for the 3 months ended June 30, 2020, was $1.4 million, flat compared to the 3 months ended June 30, 2019. The resulting EPS loss for the 3 months ended June 30, 2020, was $0.08 per diluted share compared to $0.13 per diluted share for the 3 months ended June 30, 2019. The adjusted EBITDA loss for the 3 months ended June 30, 2020, was $0.3 million, a decrease of $0.5 million or 69% compared to $0.8 million for the 3 months ended June 30, 2019. Our financial results for the 6 months ended June 30, 2020, were as follows: Revenue for the 6 months ended June 30, 2020, was $13.6 million, a decrease of $2.2 million or 14% compared to $15.8 million for the 6 months ended June 30, 2019. The decrease in revenues is primarily attributable to the schools' closure as a result of the COVID-19 pandemic. Gross profit for the 6 months ended June 30, 2020, was $4.3 million, a decrease of $0.4 million compared to $4.7 million for the 6 months ended June 30, 2019. The resulting gross margin was 31.6% for the 6 months ended June 30, 2020, compared to 29.5% for 6 months ended June 30, 2019. General and administrative expenses for the 6 months ended June 30, 2020, was $7.1 million, a decrease of $0.6 million or 7% compared to $7.7 million for the 6 months ended June 30, 2019. The decrease is driven primarily by a reduction in trade shows of $0.3 million and contract services of $0.4 million, offset by increases in commissions of $0.2 million. Research and development expenses for the 6 months ended June 30, 2020, was $0.6 million, a decrease of 7% compared to $0.6 million for the 6 months ended June 30, 2019. The increase in research and development expense was driven primarily by an increase in contract services, offset by a decrease in payroll. Operating loss for the 6 months ended June 30, 2020, was $3.5 million, relatively flat compared to the 3 months ended June 30, 2019. Net loss for the 6 months ended June 30, 2020, was $3.4 million, a decrease of $2.6 million or 44% compared to $6 million for the 6 months ended June 30, 2019. The resulting EPS loss for the 6 months ended June 30, 2020, was $0.22 per diluted share compared to $0.58 per diluted share for the 6 months ended June 30, 2019. The decrease in net loss was primarily driven by a slight increase in gross profit, decrease in operating expenses and increase in other income. Adjusted EBITDA loss for the 6 months ended June 30, 2020, was $1.3 million, a decrease of $1.3 million or 50% compared to $2.6 million for the 6 months ended June 30, 2019. With that, we'll open up the call for questions.
Operator: [Operator Instructions]. We'll take our first question from Brian Kinstlinger with Alliance Global Partners.
Brian Kinstlinger: With schools beginning to open in a hybrid approach, what are the priorities you're hearing from schools? And while they're so focused on safety, do you expect technology is going to remain somewhat of a lower priority than it was maybe in the last few quarters?
Michael Pope: Yes. Thanks for the question, Brian. That's a good question. I think the first comment I would make is technology is one of the top priorities, right, of school districts right now as they're going back to virtual and hybrid learning. But the focus, of course, is on digital technology, right, less perhaps on in classroom hardware. And so there's definitely been a shift in focus in, "How do you teach students in a virtual environment when they're home and teachers are in school?" And then later, "How do you teach potentially students that are both in-home and some students are in a classroom?" And in some cases, right, "How do you teach both of those student groups in a synchronous environment where a teacher is teaching both at the same time?" And so there's a lot of considerations around that. I would say the biggest question right now of districts though is yes, how do they effectively leverage digital technology to be able to provide the best teaching environment for students? Now that's going to start to shift right in future quarters as students go back to the classroom. There's going to be more focus of course on hardware, and specifically hardware that helps to enable that hybrid learning environment. And we speak to all of those. We speak to digital learning, we speak to hybrid learning and of course in-class learning.
Brian Kinstlinger: And then can you - you mentioned your Mimio hybrid offering. Talk about what that product is offering that addresses the current environment?
Michael Pope: Yes. So we recently a couple of months ago, launched our MimioConnect platform, and that platform is specifically for both distance and hybrid learning. And the platform allows for teacher and students to access the platform over the web. It's an HTML5 platform so they can access it across any device, and a teacher can communicate with the students via video and otherwise. And then it has all of the teaching functionality that we have had previously in our other versions of our software. And then in addition to that, of course, it has the collaboration tools. It has the assessment tools built in. And then also, teachers can upload and run lesson plans they've created in some of our competitors' solution suites, or previously that they created in our OKTOPUS software or MimioStudio software, et cetera. But really, it's a teaching environment that works over the web where students at home can use it and teachers can use it, and you're having a similar experience to what they were having or at least as close as possible to what they were having within the classroom.
Brian Kinstlinger: Great, two more. New York City was supposed to be a catalyst pre-pandemic. Can you talk about what that - what the city demands are right now for ed tech? And do you still see this as a near-term catalyst? Or is it maybe now more medium-term for you?
Michael Pope: Yes. The answer is it's going to be medium term. The first half of the year was slower than expected due to COVID-19. There was less of a focus in New York City, like many districts, on purchasing interactive flat panels and other classroom hardware. And that was our expectation was that we were largely going to sell a good number of interactive flat panels in New York City. Now that's starting to shift a little bit, and I think we'll continue to see that shift even this quarter, next quarter. But we don't have a good estimation of what that will be. But our estimation longer-term is still intact that we expect the opportunity to do several million in sales into New York City, just by nature of being on their contract. But I think we'll really start to see that Q4 and next year.
Brian Kinstlinger: Great. Last question is the gross margin was clearly quite strong. And while Takesha mentioned the mix, first of all, can you talk about what was so strong about the mix? Was it services? Because it looked like software was down. And then maybe talk about your thoughts about the gross margin going forward and the sustainability?
Takesha Brown: Yes. So you're absolutely right about that. Our professional development services sales kind of went up. And those are typically around 70% margin, so that had a significant impact on our margin. In addition, we also pivoted to where we sold a lot more of our higher-margin hardware products, and that had an impact on it as well. I think what we are anticipating going into the second half of the year, it's for our margins to be north of 30%.
Operator: Our next question from Jacob Silverman with Alliance Global Partners. [Operator Instructions]. We'll move on to our next question from John Nobile with Taglich Brothers.
John Nobile: With the school year just starting, how does it look in regard to remote versus in the classroom learning, if you could kind of give us a breakdown that right now?
Michael Pope: Yes. Good question, John. We track that pretty closely, especially the top 100 school districts. We track very, very closely what they're doing. And it's been interesting to see over the last several weeks a major shift, right? If you had asked a month ago, I would have told you that the vast majority of schools would be back in session. But today, that's clearly not the case. The vast majority of school districts are going back to a virtual learning environment. And many school districts have already done that, including school districts here in Georgia where we're headquartered. Now even though the vast majority of schools will be in a virtual environment initially, most of those districts have come up with plans of how they're going to go from that virtual into a hybrid learning environment, with a specific focus on younger age children, a focus on special needs classes, a focus on ESL classes, et cetera, right, those that they believe would very much benefit from in-class instruction. And generally, that transition through several phases from virtual to hybrid or in-class teaching is that the determination of that is based off of COVID-19 cases in the district or in the state and how those cases are trending. But again in short, pretty much all school districts are going back virtual, with some type of transition plan back to hybrid.
John Nobile: And that's what I had probably anticipated. In regard to remote learning though, how well has the release of MimioConnect been received? Now that's just a recent release, but if you can give some kind of metrics on that. Because obviously that's a good portion of your remote sales, I would believe.
Michael Pope: Yes, absolutely. So my first answer to that is one of the most important things of launching MimioConnect as well as our professional development offering that we're offering, is that makes us relevant for today's discussions. So when you walk into a district or you're talking to our key partners, of course they want to talk about their needs of today. And us being able to talk about a software platform, which we believe is the best platform available, and our training and PD resources, that allows us to start to have a discussion. Now the hope is we can sell beyond just those solutions, right? That we're going to be able to start to sell our hardware solutions and related solutions into those districts as well. But I would say, number one, it gives us a selling tool and a tool that starts a discussion. But then secondly, yes, we expect to see tremendous adoption. And our first major adoption of Connect is going to be in - you heard in the opening remarks, is going to be with Academies Trust - or the Academies Enterprise Trust in the U.K., which is one of the largest multi-academy trusts there. And they're installing our displays with our MimioConnect software platform. So that's going to be a good start. We also have another recent win that was actually in Mexico. And we expect to see several additional wins, not only internationally, but of course here domestically. But we're early on, right? We just launched the platform. We're having lots of demos. We're having lots of discussions. And I expect over the next few weeks or next couple of quarters, you'll start to see movement with that Connect platform.
John Nobile: And I was hoping you could talk a bit about your partnership with Samsung. Obviously, when the headline hit, the stock reacted positively. But I'm curious if you're going to recognize any revenue from the sale of displays, or is it going to solely come from the OKTOPUS software sales?
Michael Pope: Yes. We will recognize revenue from the sale of the displays as well as revenue from the sale of OKTOPUS and the professional training that's going to be provided as part of that bundle, so all three. So we are picking up margin on the displays as well.
John Nobile: Great. And in regard to your growing software and services sales with higher margins, what percent would you say of total revenue does this currently contribute? And where do you see this a year from now?
Michael Pope: Yes. So we haven't broken out software revenue as a percentage of total revenue to this point in time. That's something that we've talked about wanting to do in the near future. And not only software, right? We look at our business based on a few different divisions, software being one of them, professional services being another division. We look at displays separate from other hardware, high-margin accessories, et cetera. And then also we look at STEM as a division, right? So those are our divisions. So at some point, we'll start to break those out. As far as software, we're going to see double-digit increase in growth in software this year, absolutely. We expect that - we also expect double-digit growth in our services division as well. Both of those of course are relevant. We also expect good growth internationally, speaking about geography. But we'll start to share some of those in the future. But as of now, I would say, yes, we're going to have growth, and we're still nailing down exactly what that's going to look like.
John Nobile: Okay. And just - well, actually not - one further question. You brought up gross margins previously. Let me see, 34.4%. We shouldn't expect them that high, but you'd said north of 30%. So somewhere in between like 30%, 34% range, but definitely higher than 30% going forward.
Takesha Brown: Yes.
Operator: We'll take our next question from Jack Aarde with Maxim Group.
Jack Aarde: Congrats on the solid results and the Samsung partnership. Just a couple of questions for me. Michael, first question for you on the Samsung partnership. I know it's so new, and there's only so much you could probably say right now. But I'm wondering how to think about this strategically and financially. Maybe specifically, how this may impact your interactive panel solutions and just kind of strategy there? Interactive panels has always been a large portion of your guys' revenues. Just wondering if there's anything you can talk about how Samsung comes into play with this, given they're established in the interactive panels space?
Michael Pope: Yes. Well, historically Samsung has not been entrenched in education, right? So this is a new initiative for them to step in education. And we're thrilled, I would say, that they selected us to be their strategic partner, right? So this is pretty fantastic for us. As far as opportunity, I would mention that you know the size of the Samsung brand. And when they get behind a division, like they have in other divisions, the divisions become very, very large. And so we're expecting, I would say, initially that the opportunity is tremendous. We're hesitant to put numbers behind it, but you can imagine if we're successful with Samsung in education, the amount of business we could generate would be substantially more than even where we are today. So that's the potential opportunity in the future. As far as the product offering, today we still offer our interactive displays combined with our suite of software, including now we're offering of course MimioConnect as part of our software offering. The relationship with Samsung is as of now is we're just bundling our OKTOPUS software, which is also a software that we sell already to other panel manufacturers out there, and they combine that OKTOPUS software with their panels. And there are other brands that are major brands out there using our software. But then also, we're combining some online training courses. So that's the bundle as of today. In the future, we'll see where the relationship and the partnership goes, but we expect minimum competition or minimum cannibalization of our existing sales of panels with this partnership. We look at it as is almost entirely accretive. And then also keep in mind that the Samsung organization has a tremendous sales team. And then they have a partner network much larger than our partner network as well. So we're going to benefit from their sales resources and their partner network in addition to just having this bundled offering.
Jack Aarde: Fantastic. That's great news. Happy to hear that you think minimal cannibalization, and then also, Samsung is such a stamp of credibility, I imagine, for just Boxlight's brand and just spreading awareness as well. Have you noticed any increase in just customers coming to you or districts coming to you now just because of the Samsung partnership? Just any comments around how this is helping your awareness?
Michael Pope: To that, you're spot on that that's already happening. Yes, we're starting to have conversations already with school districts interested in this Samsung/Boxlight offering. We're also having a lot of conversations with partners that are out there, our partners as well as new partners that are coming to us that have previously been Samsung partners. And then also just we're hearing a lot of excitement just in the industry more generally as well about our partnerships. So I think that there's going to be a lot of intangible benefits that come in addition to the hard opportunities that walk in our door.
Jack Aarde: Great. That's very helpful. And then just one last question for me. I was hoping you can provide a bit more color and a status update just regarding your recent supply agreement and strategic partnership with CEC Finance and Logistics. Wondering if you've seen any benefits resulting from this partnership already? Or given the tough demand environment currently, I'm not sure if there's much to report there, but just wondering if you can provide an update there.
Michael Pope: Yes. So that's a tremendous agreement that we put in place - that was put in place to allow us to be able to offer our inventory to our partners more timely, right? If you go back a couple of months even, you'll know that our working capital position was low. Also, our inventory levels were low, and we were suffering with back orders and long lead times, and in some cases, even canceled orders with our customers. And so when we put that agreement in place, that was going to allow us to be able to have inventory in the U.S. on the East and West Coast, and then we could have timely deliveries to partners based on orders. So it was really kind of a finance arrangement of sorts. Now that we've raised a bunch of money, it's still beneficial, and we're still going to use that relationship. But I would say it's less critical today because we closed in June and July on $46 million, right? So we have a flush balance sheet. Of course, we have inventory on hand and coming. And we're going to be reliable as far as shipping products as needed and having short lead times. And so I feel like that's largely corrected. But the biggest driving factor of improving that situation was us closing on the fund raise. I would make one more comment about that, and I can't overstate the importance of us having a better capital position, our working capital position today. Because if I were looking into the future, I think the #1 sales driver is just that us being reliable to our partners. And us not being reliable historically stifled our sales growth, and a lot of those key partners weren't leading with our solutions or weren't - or weren't even selling, in some cases, our solutions because they didn't know if we'd be able to ship timely or ship at all in some cases. And so us now having inventory on hand and having again a strong balance sheet, that's going to allow us to go back and reengage with those partners, and that's going to allow us to really drive their decisions to sell us over other potential solutions.
Operator: [Operator Instructions]. We'll take our next question from Allen Klee with National Securities.
Allen Klee: Can you comment on your thoughts on seasonality for the rest of the year? It seems a little more complicated than normal with school year budgets ending. Sometimes you get a budget flush, but then everything that's going on in the current environment. And then what you stated about your backlog of orders of $2.5 million, to me, that might imply that the next - the third quarter might be a down quarter. So can you help us at all in terms of just how to think about 3Q and 4Q relative to historical relationships?
Takesha Brown: Yes. So I think for the second half, we're planning on being flat with the second half of 2019, right? So those are probably going to align there from a revenue perspective. In regards to the seasonality, you're absolutely correct in that. We sit down and try to talk about that. But with everything going on in the COVID environment, it's extremely hard to take what has historically happened and apply it to this year. But based on what we've been talking to our sales teams about and the orders and the relationships that are out there and the things that are in the works, what we're anticipating is basically staying flat with the second half of 2019.
Allen Klee: Okay. And then on the income statement in the press release, it looks like you adjusted some of your June 2019 numbers. There's a note 1. Could you explain what happened there?
Takesha Brown: Oh, yes. And so we adopted ASC 606 in December of last year. Because we were - since we're an emerging growth company, we've had a little bit longer to adopt. So we adopted it in the fourth quarter. So basically for comparison purposes because we're now operating on a 606 reporting perspective, we have to go back and restate those previous quarters under 606. So that's what that is. So we're just recasting it. And if you look in the 10-Q, there's actually a footnote in there that shows this is what it was previously, here are the adjustments. And it's more so for deferrals and things of that nature, the way we have to account the things under 606 now. And what has been reported in the Q on the face of the income statement. So you'll see that start - okay.
Operator: We'll take our next question from Jacob Silverman with Alliance Global Partners.
Jacob Silverman: Just one question. Do you think 2Q was at the bottom in terms of demand? Or is there too much uncertainty to predict that?
Michael Pope: Yes. So a couple of comments on that. So ed tech demand has been growing dramatically. In fact, there was a growth in Q2, and we expect substantial growth into Q3 and beyond. There just was a shifting of the solutions that were being purchased by districts, right? There was a shift to a course away from classroom technologies to technologies that schools can use in virtual hybrid environments, so specifically schools of course looking at online platforms. In addition to that, there was mass buying of handheld devices like Chromebooks or laptops for students, Wi-Fi cards, those types of things where students will be able to access education remotely. As far as moving forward, we expect that to start to shift back the other way. And I think the data supports that. Looking at the research that we follow, we're seeing that we're going to see that shift happen, particularly like with interactive panels. For example, if you look at Q2, most of the data we see shows that interactive panels for education dropped by about 20%. That was in the U.S. And globally minus China, they dropped about 20%. But the research we're seeing is expecting that to narrow come Q3. And then Q4 and beyond, we actually expect that to pick up, and we're going to see a growth in interactive flat panel demand for next year and the following years. And that's a double-digit growth kind of beyond. Same thing with STEM solutions, right? There was a decrease in demand for STEM solutions, but we're seeing that start to reverse. And we think come again next year, you're going to see increased demand for STEM solutions. And then also, I would put in that same category would be classroom accessories, which we sell as well, right? So the answer is yes, demand slid. But come Q1 next year, I think we'll be back on pace for solid growth in each of those categories.
Operator: [Operator Instructions]. That appears to be all questions that we have for today. We'll now turn the floor back over to Mr. Pope for closing remarks.
Michael Pope: Thank you, everyone, for your support and for joining today on our first - on our second quarter conference call. We look forward to speaking to you again in August when we report - this is the last year. We look forward to reporting our third quarter results, and we'll talk to you again at that point in time. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time, and have a great day.